Operator: Good morning, and welcome to Bitcoin Depot Inc.'s fourth quarter and full year 2024 conference call. My name is Kate, and I will be your operator today. Before this call, Bitcoin Depot Inc. issued its financial results for the fourth quarter and full year that ended December 31, 2024, in a press release. A copy will be furnished in a report on Form 8-K filed with the SEC and will be available in the investor relations section of the company's website. Joining us on today's call are Bitcoin Depot Inc. CEO, Brandon Mintz, and COO, and Interim CFO, Scott Buchanan. Following the remarks, we will open the call for questions. Before we begin, Cody Slach from Gateway Group will make a brief introductory statement. Mr. Slach, please proceed.
Cody Slach: Thank you, operator. Good morning, everyone. Before management begins their formal remarks, we would like to remind everyone that some statements we are making today may be considered forward-looking statements under securities laws and involve a number of risks and uncertainties. As a result, we caution you that there are a few factors, many of which are beyond our control, which could cause actual results or events to differ materially from those described in the forward-looking statements. For more detailed risks, uncertainties, and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and public filings made with the Securities and Exchange Commission. We disclaim any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date forward-looking statements are made, except as required by law. We will also discuss non-GAAP financial metrics and encourage you to read our disclosures and reconciliation tables to applicable GAAP measures in our earnings release carefully as you consider these metrics. We refer you to our filings with the Securities and Exchange Commission for detailed risks, uncertainties, and other variable circumstances, including but not limited to, risks and uncertainties identified under the caption "Risk Factors" in our recent filings. You may get Bitcoin Depot Inc.'s Securities and Exchange Commission filings for free by visiting the SEC website at sec.gov. I'd like to remind everyone this call is being recorded and will be available for replay via a link in the Investor Relations section of Bitcoin Depot Inc.'s website. A supplemental earnings presentation highlighting our performance has also been made available on our IR website. Now I would like to turn the call over to Bitcoin Depot Inc.'s CEO, Brandon Mintz. Brandon?
Brandon Mintz: Thanks, Cody, and good morning, everyone. Thank you for attending our fourth quarter conference call. I believe this call marks a pivotal moment for our business. I will start with three main points that Scott and I want to drive home on today's call. First, our kiosk growth and optimization plan are starting to show through in our financial results, and the tough comparisons in the wake of the California legislation are largely behind us. Q4 adjusted gross profit was up 18% year over year, and adjusted EBITDA was up 34%. These results should continue as this strategy unfolds. Second, our business model inherently throws off healthy cash flow, which gives us the optionality to drive various initiatives that we believe will create maximum shareholder value. This could come in the form of continued organic growth, debt reduction, or as we previewed last quarter, the potential to be the only company in the world associated with crypto that will pay a dividend. Third, our growth plan coupled with our healthy cash flow generation is increasing the confidence we have in our business. As such, we are reintroducing our financial outlook, which displays continued strong quarter-over-quarter and year-over-year growth in our first quarter of this year, which Scott will cover later in the call. Now I'd like to discuss some recent developments across our business that support these three main takeaways. During the fourth quarter, we continued to focus on growing our kiosk network, optimizing our existing fleet, and building a robust pipeline of regional and national partners to enhance our footprint. We ended 2024 with approximately 8,457 active machines, surpassing our goals and reflecting our team's execution and vision to enhance Bitcoin's accessibility. We expect to see continued growth in our kiosk footprint to continue in 2025. Now onto our BTM relocation strategy. Today, 3,800 of our kiosks have been installed for less than one year. On average, we typically reach breakeven in four to five months on relocation expenses. We know the relocation strategy is working because we continue to see improved volumes at locations after they have been relocated. To highlight the value of our BTMs, we think a comparison to Bitcoin miners is helpful. Bitcoin mining revenue is highly correlated to the price of Bitcoin, whereas our BTMs have shown almost no correlation to the price of Bitcoin. Bitcoin miners have had a great year in 2024 as the Bitcoin price more than doubled. Even in 2024, with strong Bitcoin price appreciation, public Bitcoin mining companies roughly averaged a payback period of one to two years on an individual miner. However, our Bitcoin ATMs have typically seen payback periods of less than eight months regardless of Bitcoin price. This highlights the strong profitability of our core business. Now moving to our retail partnership, we are excited to announce that we secured an early extension many months before the end of our term with our largest retail partner, Circle K. This adds roughly twelve months to our agreement with them in the US. Additionally, in January, we announced the deployment of fifty additional Bitcoin ATMs in partnership with a prominent convenience store operator with locations across the Texas Panhandle and nearby states. The expansion provides customers with convenient access to purchase Bitcoin and participate in the broader digital financial system. With this partnership, we're not only expanding our retail footprint in the southwestern US, we're directly addressing the growing demand for convenient crypto access. Now turning to our growth strategy. First is international expansion. We have shipped over 300 kiosks for our Australia launch. We are expecting the launch in Australia to commence in 2025, and are targeting additional countries for further expansion. Australia is fast becoming a global hotspot for Bitcoin adoption, ranking third worldwide in the number of Bitcoin ATMs. We believe the growing adoption of cryptocurrency will offer us an opportunity to establish a market-leading presence outside of North America. While it's still early, we are encouraged by the pace of retail opportunities we have identified in Australia. We are also evaluating the entrance into at least two additional countries in 2025. Second, we are focused on deploying the remaining kiosks in our inventory from our large kiosk purchases last year. The kiosk remaining in our inventory could allow us to reach a fully installed fleet of roughly 10,000 kiosks. Third, we will continue to pursue New York State. New York State remains one of the largest potential geographical growth opportunities for our kiosks. And we are in regular dialogue with regulators to secure a license to operate in the state. At this moment, we do not have any updates on the expected timeline for approval but are hopeful this can happen in 2025. According to coinatmradar.com, there are still no physical Bitcoin ATMs in the state of New York. Looking ahead, we believe our business is well-positioned to grow and drive shareholder value. Today, we are much more prepared to address how states might approach regulating our industry and this gives us a greater influence when regulations may be drafted. Additionally, we are pleased to see our new administration's pro-crypto policies beginning to emerge. We believe this positive momentum can be helpful for our business. To recap, we are encouraged by our recent momentum and remain well-positioned to execute our strategic goals. Now, I'll turn the floor over to our COO, and Interim CFO, Scott Buchanan, who will provide more in-depth insights into our financial performance and business outlook. Scott?
Scott Buchanan: Thanks, Brandon, and good morning, everyone. My focus today will be on our fourth quarter results and our outlook for 2025. Fourth quarter revenue was $136.8 million compared with $148.4 million for last year's fourth quarter. A large part of the decline was driven by the impact of unfavorable legislation that passed in California and went into effect in January 2024, as well as regulatory changes in Connecticut, Vermont, and Minnesota that went into effect in Q2 and Q3 of 2024. Additionally, we relocated kiosks during the quarter to optimize our fleet for maximum profitability. Adjusted gross profit for the fourth quarter of 2024 increased 18% to $25.4 million compared to $21.6 million for the fourth quarter of 2023. Adjusted gross margin in the fourth quarter of 2024 increased 400 basis points to 18.6% compared to 14.5% in the fourth quarter of 2023. This margin increase was largely driven by optimizing our markups for maximum profitability and by relocating underperforming kiosks. Total operating expenses for the fourth quarter of 2024 declined 16% to $15 million compared with $17.8 million for last year's fourth quarter. The improvement was attributable to lower professional services expenses, and we anticipate that trend will continue over the coming quarters as we move farther away from the de-SPAC transaction and optimize expenses for life as a public company. We have saved multiple million dollars on an annual basis by reducing our costs related to our third-party legal costs and audit services. We've also seen our insurance costs decline $1.5 million as a result of reduced D&O. GAAP net income for the fourth quarter of 2024 increased significantly to $5.4 million compared to a net loss of $1.7 million for the fourth quarter of 2023. The increase was due to lower depreciation and amortization and lower operating expenses in 2024. Adjusted EBITDA, a non-GAAP measure, increased 34% to $12 million for the fourth quarter of 2024 compared to $9 million for the fourth quarter of 2023. This increase was primarily due to higher net income. Also as a reminder, as we deploy more kiosks, we increase fixed costs. These deployments do not come with immediate revenue or EBITDA improvement. They are expected to drive growth later in 2025 and in future years. Now turning to our balance sheet and cash flow. In June of last year, we announced our plans to allocate a portion of our cash reserve to Bitcoin. Since that time, we have continued to strengthen our position in the market through our Bitcoin treasury strategy, recently increasing our holdings to 94 Bitcoin. This move reflects our confidence in Bitcoin's long-term potential as a financial asset and aligns with our commitment to broader access, underscoring our longstanding belief in Bitcoin as a significant financial asset and store of value. We ended the year with $31 million of cash and cash equivalents in cryptocurrencies in 2024. Generated $22.5 million of cash from operating activities. Debt at quarter end was $60.9 million, which includes finance leases and profit share arrangements. Of our total debt balance, $36 million is our term loan, which we are planning to pay down by at least $9 million in 2025. In addition, we are working to continue to improve our cash flow as more of our kiosks transition lease to own. And as we continue to become an overall more efficient organization. As such, $8 million is the current balance on the kiosk leases, and we believe that this will fall to $3.5 million by the end of the year. As we think about our capital allocation strategy, we completed the paydown of our remaining preferred dividend to BT Asset. Now that this is repaid, we will next focus our attention on other ways of driving shareholder value, including paying down our term loan or potential dividends as we do not expect significant CapEx in 2025. Now turning to our outlook. As Brandon mentioned, given the improved visibility we have in our business, we are reinstating our financial guidance. Q1 2025 is also a very strong start as we continue to see growth from our relocation strategy. We anticipate Q1 revenues to be between $151 million and $154 million, which would represent growth of between 9% and 11% compared to Q1 2024. We are projecting adjusted EBITDA for Q1 2025 to be between $12 million and $14 million, which would represent growth of over 200% compared to Q1 of 2024. We would anticipate a similar revenue seasonality trend with significantly higher revenue in Q2 than Q1 and Q4. We remain committed to additional operational enhancements to drive profitable growth going forward, including improving vendor pricing, lowering professional services costs, and optimizing customer markups. We are focused on optimizing the business for profitability and positive cash flow ahead. With that, we are now happy to take your questions. Operator?
Operator: At this time, I would like to remind everyone in order to ask a question, Your first question comes from the line of Mike Colonnese with HSE Winger. Please go ahead.
Mike Colonnese: Hi. Good morning, guys, and thank you for taking my questions. First for me, curious how you guys are thinking about growth for the overall global Bitcoin ATM market in 2025 here, and then how growth should look within that context for Bitcoin Depot Inc. I saw the overall industry grew by about 5% last year as it relates to the growth in the number of ATMs. It'd be, again, good to get your views on market growth trends.
Brandon Mintz: Hey, Mike. It's Brandon. Thanks for joining today. On the growth related to the overall global Bitcoin ATM market, I don't think it's going to be that significant in 2025 compared to 2024. Maybe you'll see some trends, you know, we believe Australia will continue to see growth. And that's a good thing for us. You know, we want to be the player growing, not necessarily have a lot more competitive Bitcoin ATMs out there. Typically, you know, if we place our machines in areas with lower competition, we see increased revenues. So I think a lot of the operators, especially the smaller ones, over the past year or so, have been struggling to keep up with new regulation and just the competitiveness in the industry now with, you know, larger players that have such an established brand and very sophisticated employees and means of doing business.
Mike Colonnese: Yeah. It's a nice segue onto my question, which is around the regulatory environment. So, Brandon, Scott, it'd be great to get your perspective on the whole regulatory backdrop here in the US. For the industry, especially under the new administration, which is obviously pro-crypto. But we also did see the Crypto ATM Fraud Prevention Act introduced just last month, which seems like it could present potentially some headwinds to your business if enacted. So we could get your views here.
Brandon Mintz: Yeah. We do believe the new administration will be very friendly to crypto as a whole, of course, and our own industry. We're not very worried about that potential piece of legislation that you're talking about. I think with the new administration, something that could negatively impact our industry is less likely to be passed into law.
Mike Colonnese: Great. Thank you for taking my questions, Brandon.
Brandon Mintz: Bye.
Operator: Your next question comes from the line of Mike Grondahl with Northland Securities. Please go ahead.
Mike Grondahl: Hey. Thanks, guys. The 1,600 kiosks you have in inventory, does that include the 300 in Australia? And how do you think those 1,600 kinda get put to work in 2025? What is kind of a rough level of expectation?
Brandon Mintz: Yes. Mike, that would include Australia kiosk inventory as well. And really, the way to kinda look at it is 10,000 machines is roughly what we could get to if we installed everything we could. There's always a few hundred machines moving around from location to location, maybe being refurbished or repaired, etcetera. So we actually have more than 1,600 in inventory, but there's always some machines moving around. And the second part of your question was what again?
Mike Grondahl: Just sort of what should we think of as a goal? You know, you had 8,457 at year-end 2024. Do you think you can get to 10,000 by year-end 2025? You know, 9,000? Like, how do we kind of model that growth?
Brandon Mintz: Well, we do think we'll be at some point throughout the year the highest installed fleet that we've had. In Australia, if things look very positive, we would likely send a lot more machines over there. And that being such a fast-growing market, that could accelerate the growth as well. So I would say look out for updates related to Australia. If we're expanding there, then likely we'll reach a higher number in terms of the total installed fleet than just the US or US and Canada.
Mike Grondahl: Got it. And then kiosks in transit, if you will, post-California, I know Q1 was really busy, Q2 was busy, Q3 was busy. Did you do a lot of moving around of kiosks in Q4? I'm just trying to figure out, did that finally slow down? If you could give us some color there, that would be helpful.
Brandon Mintz: Throughout the year, we remain steady on the removals and therefore the relocations. We didn't remove everything from California. For example, in the first couple quarters of the year, we were trying to see if we could influence the bill that ultimately was passed into law there to be changed. We still believe that there's hope to get it changed, and we're actively working on it. But, unfortunately, in 2024, we did not make any changes. And so once we got toward the end of the year, we made a bigger push to relocate a larger number of those machines from California since we were kinda holding on to them for a while to see what happened. So that played into the relocations as a whole quite a bit. And we just continue to be aggressive in removing machines because we see such a quick payback time of four to five months on the relocation expenses. So we think it's just going to be a part of this business model moving forward.
Mike Grondahl: Got it. Got it. And then the gross margin, 18.6%, took a nice step up from kind of the 16% level earlier in the year. What's driving that?
Brandon Mintz: Well, it's a combination of things. Just continuing to optimize the spread charge at the machines, to find the sweet spot. And in addition to that, we had some armored expenses decline as we were able to renegotiate some contracts throughout the year and achieve more economies of scale. So that was really helpful as that's back into that margin there. And also, lastly, our rents on average per machine have been declining as well. So we're saving money on the rent cost. And we're continuing to try and get the rent to be as low as possible to be able to still get as many machines out as possible at these stores.
Mike Grondahl: Got it. And then just lastly, on OpEx, did you guys say that $15 million is about the right run rate going forward?
Scott Buchanan: Yeah. Hey, Mike. So we do expect that to be roughly the run rate going forward. We think we can come down a little bit more as we keep getting some of these more frivolous lawsuits behind us. So we can reduce some legal costs. It'll come down a little bit even as we keep scaling the number of kiosks to the fleet, but I don't think it'll come down materially from where we are now.
Mike Grondahl: Fair. Okay. Well, great job on that too. Thanks, guys.
Operator: Your next question comes from the line of Hal Goetsch with B. Riley Securities. Please go ahead.
Hal Goetsch: Hey, thank you. My first question is on international expansion. How long will it take to get to kind of breakeven at the country level in Australia? Is that a consideration? And will you actually burn cash getting started there for a year or two? And my next question is more, you know, business development-wise. Like, are you doing anything to increase the velocity of usage? Why don't we have a partnership with Circle K where you can buy Bitcoin at Circle K? And then, you know, use the app on your phone to, like, check out at the point of sale or buy gas at Circle K with Bitcoin. And would help increase the velocity and usage, I would think. Your thoughts on those two topics.
Scott Buchanan: Yeah. Hey, Hal. This is Scott. Thanks for the question. So the first one on international expansion, I mean, yeah, we definitely will burn cash initially in these international markets just as we deploy a bunch of kiosks, so they ramp up in performance. Just like we see in the US when kiosks are brand new, they're not instantly profitable on month one. You gotta do the installations and everything, which will cost money. And then the off and we'll see profitability after a couple of months. But we think about Australia and the scale of the overall business, right, even the 300 kiosks we shipped there so far, it's relatively small. And so it won't be too much cash that will be reduced as we start that expansion process. And then your second question on kind of Circle K and using the app to spend Bitcoin at Circle K. I mean, you can do that already with Bitcoin. There are a lot of different card services out there where you can link cards to your Bitcoin wallets and send the Bitcoin anywhere. So we don't really think that's just our core value proposition of helping people spend the Bitcoin. We're more focused on ways that people can use our kiosk as a vehicle to load cash into the crypto ecosystem or potentially other services. We think our core value is a cash on-ramp and helping provide services to the underbanked, not so much in ways that people can spend Bitcoin.
Hal Goetsch: Okay. And I have one follow-up. You have, you know, about 4% of your kiosks are under a year, right, in position in a certain position. And so it looks like what you have is gonna ramp, and that's kinda what you're guiding to. But, like, you know, can you give us some color on maybe, you know, what percent of your installed base has kind of been in a good spot for more than 24 months and very productive? And could you share with me some of the KPIs of your, you know, top 10 or 20% of machines that are, like, haven't been moved in a while? So we kinda know what a well-positioned kiosk looks like. And the reason why I'm asking that is that you can put a kiosk into a new store, it starts out at zero and goes to something over time. But it also could go to something over time just because it's kind of like a novelty. It's like kind of people see it there for a few months, six months in, nine months in, maybe get some repeat customers. Really, the metal is, like, really seeing a kiosk that has been in one place for several years and it's doing x. And, you know, what kind of machine, how many machines do you have doing that, and kinda what are they doing?
Scott Buchanan: Yeah. It's a good question. I don't have all those stats off the top of my head or in front of me. But yeah. So what we've kinda highlighted is, like, the number we provided, right, is the number that are less than a year old because those are the ones we expect to continue ramping. So obviously, the other, the delta or the difference of that percentage from 100 is the amount for over a year. I don't know the percentage over 24 months off the top of my head. But it would be a good portion of the ones that aren't less than a year. Because we don't typically remove kiosks that are over a year old. We're typically removing them between months six and twelve. So it'd be safe to assume that the ones that aren't under a year, most of those will be over two years. As far as the volume averages on those, I don't know it off the top of my head again. We'd have to pull the data and check it, but we do see strong performance in those kiosks that have been installed for multiple years. And that's why we're aggressive in relocating kiosks because we know when we do find a good spot, the performance for those that stay in the location for a long time is generally really strong.
Hal Goetsch: Right. Okay. Thank you.
Operator: Before going to the next question, again, if you would like to ask a question, press star one on your telephone keypad. Your next question comes from the line of Pat McCann with Noble Capital Markets. Please go ahead.
Pat McCann: Hey. Thanks for taking my questions. My first question has to do with the regulatory environment. I know that although the presidential administration is friendly to crypto, ultimately, on a state-by-state basis, you know, that's an important factor as well, of course. I'm just wondering what are you seeing as far as trickle-down effect from the federal administration to the individual states? Are there any positive developments in, let's say, the bluer states where you might expect tighter regulation on crypto? Any thoughts there?
Scott Buchanan: Hey, Pat. This is Scott. Thanks for the question. So like Brandon said and like you mentioned, we do think federally there's positive momentum and more favorability for the crypto space and Bitcoin ATMs specifically even. Which is great since that's obviously the biggest concern is some federal legislation that negatively impacts the business. At the state level, it's very different state to state. We have seen some positive movement with the federal positions on things. There's still challenges in certain blue states. Right? And so we stay on top of that with lobbyists and high-value states for us. We also partner with others in the crypto space more broadly to monitor these things and make sure we can explain our business effectively to legislators so that they understand what we do and the protections we provide for consumers. So that we don't get blindsided by something like California. But it's really hard to say exactly what happens on each state level. It's not all guided federally like you said, and all we can do is just stay on top of those lobbyists and make sure we explain our business well to these different legislators.
Pat McCann: Thanks. And then my other question has to do with uses of capital, and you guys have mentioned the prospect of a dividend. But, I think Brandon also mentioned some of the challenges of some of your competitors. I was wondering, are there any M&A opportunities? Is that a potential use of some of the cash that you might consider? Any thoughts there?
Brandon Mintz: Hey, Pat. It's Brandon. I'll take that one. On the M&A opportunities, we're always having conversations with potential targets and just getting to know more and more competitors. Not only in the US, but across the world where we may be interested in expanding to. What we typically see is they are not understanding, you know, kind of our value in terms of market cap in relation to theirs. Right now, I don't know what the multiple is, but it's typically been around two times EBITDA or so. And going to one of these competitors and trying to buy them for less than that can be difficult. But what we've also been seeing is as we continue to buy kiosks for reduced prices, like the purchase we made around ten, eleven months ago, wherein that press release, we said we bought those kiosks for less than, well, it was a discount of over 50% versus what we've paid, it's been less and less worth it to do M&A. Because if we can get kiosks for much lower prices, we're continuing to reduce our rents. They need to have more and more of something strategic to us for it to make sense. Because when we run the numbers, it makes more sense to grow organically. Now internationally, I think there's more likelihood of an acquisition versus in the US at the moment just because they have something potentially more strategic. Maybe they have a license that we don't have to operate or maybe they have, you know, a big retailer that they sign that would be difficult and take a long time for us to get into. So I would say, you know, we're not expecting a lot of M&A activity. But if we do find something interesting, it would probably be pretty strategic to us versus just boosting our financial profile.
Pat McCann: Great. That's very helpful. Appreciate the color.
Operator: I will turn the call back over to Brandon Mintz for closing remarks.
Brandon Mintz: Thanks, everyone, for joining the call today. We look forward to continuing to show strong results in Q1, and we'll talk to you guys next time.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.